Operator: Good day and thank you for standing by. Welcome to the Littelfuse Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today Trisha Tuntland, Head of Investor Relations. Please go ahead. 
Trisha Tuntland: Good morning. And welcome to the Littelfuse second quarter 2021 earnings conference call. With me today are Dave Heinzmann, President and CEO; and Meenal Sethna Executive Vice President and CFO. This morning we reported results for our second quarter and a copy of our earnings release and slide presentation is available in the Investor Relations section of our website. A webcast of today's conference call will also be available on our website. Please advance to slide two for our disclaimers. Our discussion today will include forward-looking statements. These forward-looking statements may involve significant risks and uncertainties. Please review today's press release and our Forms 10-K and 10-Q for more detail about important risks that could cause actual results to differ materially from our expectations. We assume no obligation to update any of this forward-looking information. Also, our remarks today refer to non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure is provided in our earnings release available in the Investor Relations section of our website. I will now turn the call over to Dave.
Dave Heinzmann: Thank you, Trisha. Good morning and thanks for joining us today. Let's start with slide four. I am pleased to share that we continue to demonstrate strong execution within a highly dynamic environment. Building on our strength over the past several quarters, we are focused on support of our customers, while navigating a complex global supply chain environment and continuing our efforts to mitigate the impact of higher input costs on our business. Through exceptional teamwork and strong business fundamentals, we achieved second quarter sales of $523 million, representing record revenues for us. Despite facing significant input cost headwinds, we delivered adjusted operating margins of 19.5% and record adjusted EPS of $3.41. Meenal will provide additional color on our strong financial performance. During the quarter, we saw ongoing strong demand across most of our electronics, transportation and industrial end markets. The slope of the global demand recovery has caused unprecedented conditions across the supply chains of both Littelfuse and our customers. While we do not see our distribution partners building inventory, we are seeing evidence of some OEMs attempting to build inventory where possible, while extended shipping times added to inventory levels. As we work to manage our business, we are adding capacity, driving productivity improvements, working through material and component shortages and managing logistics constraints. I'm extremely proud of our global teams and their daily focus on execution to meet stakeholder commitments, while continuing to deliver on the strategic initiatives within our five-year strategy. Moving on to performance within our segments. During the second quarter, our Electronics Product segment experienced strong demand in all regions. Our revenue growth was driven by our operational execution and strength across a broad range of applications, including data center and communications infrastructure, factory, building and home automation and continued demand for consumer electronics. As we manage through supply chain disruptions, our lead times have increased for most of our products. As a result, exiting the second quarter, our electronics book-to-bill remained well above 1.0 and weeks of inventory for our products at our channel partners continue to be lean. Moving on to our Automotive Product segment. We are operating with a noisy landscape, plagued by ongoing material and component shortages at our customers. Our performance during the second quarter reflects the hard work of our global teams to meet demand and we had content gains higher than our expected long-term forecast rate, driven by growth of electric vehicles and a favorable mix of higher-end vehicles. Additionally, the well-known supply chain dynamic of unfinished cars may be clouding global vehicle build and our short-term content growth. While our order patterns remain healthy, we see some risk of future demand due to ongoing supply shortages at both passenger car and commercial vehicle OEMs, resulting in additional shutdowns. Longer term, we expect the growth of our automotive segment to continue outpacing global vehicle build with our expanding content opportunities. Turning to our Industrial Products segment. A number of our core markets showed strength during the second quarter including HVAC, renewables, energy storage and general industrials. While mining is showing initial signs of recovery, non-residential construction and North America oil and gas markets remain sluggish. Going forward, we expect continued solid demand across several of our industrial end markets. Now let's move on to key design wins in the end markets we serve. In industrial end markets on slide 5, our integration of Hartland Controls is going very well. We are capitalizing on strong HVAC demand and we're seeing our combined businesses unlock other opportunities across industrial applications. We are seeing ongoing design activity across the HVAC market and won new business in North America for refrigerated storage applications. Our focus on industrial automation continues to be the key driver for design wins. During the second quarter in North America, we had a design win for a manufacturer of factory automation equipment and a win for a warehouse conveyor system. In Japan, we had a design win for an industrial motor drive application. Renewable energy and energy storage systems continue to drive new business. We had key design wins for solar applications in the US and an energy storage system in China. Within our transportation end markets on slide 6, design activity continues at a robust pace as our technical expertise and close customer relationships help drive dozens of key design wins in the second quarter. In our traditional passenger vehicle business, we won new business for a line of utility bands with our high-current fuse modules as we continue to expand our presence in this product application with global customers. The growth in electric vehicles and the ongoing electronification of transportation continues to be a driver of new business as we make investments across our overall e-mobility strategies. We secured key design wins for battery management system applications with a manufacturer in North America and had a position sensor win with a manufacturer's new electrically powered heavy-duty truck line. We secured a win for a power conversion application with a European EV manufacturer. And in Korea, we secured a design win for high-voltage protection. In China, we had a design win for an EV charging infrastructure application. We continue to generate new business for automotive electronics during the quarter gaining new design wins across the Americas and Asia, ranging from powertrain systems to navigation. Material handling remains a good pipeline of design win opportunities for our commercial vehicle business. We had two key design wins in the quarter in Europe where we leveraged our technical support and showcased our strong execution capability to deliver a complex product solution to meet the customer's tight delivery window. We also had wins for conventional heavy-duty truck applications in both China and North America. Across electronics end markets on slide 7, we are leveraging our leadership and differentiated global access and reach. Our design win activity remains strong and we continue to secure a broad range of new business opportunities. With new cloud and video streaming services continuing to come on board, a good source of design activity remains the data center applications, where we secured key wins in the quarter in the US, Taiwan and Southeast Asia. We also secured design wins in China for battery protection and charging applications for notebook computers. And we had a win in Japan for an electric bicycle application. Our new business opportunity pipeline includes a broad range of high-growth industrial, transportation and electronics applications that will support and sustain our long-term growth strategy. And I'm confident in our forward focus and capabilities to secure these prospects. I will now turn the call over to Meenal to provide additional color on our financial performance and outlook.
Meenal Sethna: Thanks, Dave. Good morning everyone, and thanks for joining us today. Given the strength of all comps versus a weak second quarter of 2020, my comments today will focus on sequential performance. So let's start with slide 9. Sales in the quarter were $523 million, growing 13% sequentially and up 11%, excluding the Hartland acquisition. GAAP operating margins were 18.4%, while adjusted operating margins were 19.5%, up 240 basis points sequentially. Operating leverage was a highlight this quarter, with 38% incremental margins over the first quarter, as adjusted operating income grew 28%. Second quarter GAAP diluted earnings per share was $3.30, and adjusted diluted EPS was $3.41, up 28% sequentially. While underlying demand trends remain strong and are driving a robust topline trajectory, the operating environment remains challenging. Our teams continue to navigate supply chain-related complications and disruptions every day. We continue to see increases in input costs, especially commodities, other materials, and freight rates. While I noted last quarter, these headwinds were pressuring margins, 250 to 300 basis points, we're now seeing an impact closer to 350 to 400 basis points. We initiated pricing actions late last year to help mitigate these costs. The speed and rate in which we are able to offset cost is dependent on our go-to-market strategy for each business. Price realization has been quicker in areas where we are heavier in distribution like our electronics segment. In our automotive segment, we sell mainly direct to customers. And given the nature of how contracts are structured, pricing actions take longer. And our industrial segment drives a blend of both strategies. Given this mix, we expect price to offset about half of our current cost headwinds. We generated $76 million in operating cash flow and $58 million in free cash flow in the quarter. Year-to-date, we've generated $94 million in free cash flow. We've invested about $70 million in working capital from sales growth year-to-date, including giving our business teams latitude to hold some extra inventory of critical materials and parts to support customers. We expect a free cash flow conversion of around 100% of net income for the year, which assumes $80 million in capital expenditures. We also announced a 10% increase in our quarterly dividend rate to $0.53. This aligns to our multiyear, capital allocation objective of 20% of free cash flow returned to our shareholders via dividends. Since its inception, over a decade ago, we've grown our dividend 12% on a compounded annual basis. Moving on to our segments on slide 10. All grew sales sequentially and finished the quarter with double-digit operating margins. Our teams have done a commendable job driving productivity improvements, which have continued to elevate our capacity. Starting with electronics. Sales were $325 million, growing 14% sequentially, with operating margins of 22.8% in the quarter, up 340 basis points. This business served over 100,000 end customers and margins benefited from volume and content growth, across a broad range of favorable electronics, transportation and industrial end markets. Automotive sales were $133 million in the quarter, up 4%, with operating margins finishing at 14.4%, down 140 basis points sequentially. Beyond the well-telegraphed demand across both passenger and commercial vehicle markets, we benefited from higher passenger vehicle content growth from mix. Operating margins in this segment are most exposed to commodity price increases, due to product composition and content, with lower price realization offsets due to customer structure. Our teams have done a terrific job, managing through volatile demand and supply chain patterns to drive operating margins in our targeted range. Sales for the industrial segment of $65 million grew 33% sequentially, with operating margins of 12.9%, up 570 basis points. Key highlights included improved benefits from manufacturing footprint optimization and strong performance from the Hartland acquisition. We remain on a solid path towards our target of high-teens margins for the segment. Turning to our third quarter outlook on slide 11, demand remains healthy. At the same time, the markets are pretty fluid. We factored in currently known supplier and customer supply chain impacts and assumed no new material disruptions from COVID. We expect third quarter sales in the range of $510 million to $524 million, down 1% sequentially at the midpoint. We expect electronics and industrial segment sales sequentially flat to slightly up with a modest sequential decline in auto. Demand across all of our end markets remains very healthy, and we're continuing to meet customer requirements. But across the automotive landscape, we've seen a number of OEMs, noting shortages of critical components from other suppliers, which we expect to curtail their third quarter production levels. We project third quarter adjusted EPS to be in the range of $3.07 to $3.23, down 8% sequentially at the midpoint. This assumes an adjusted effective tax rate of 16% for the quarter. The forecast includes $0.15 of unfavorable sequential comps on non-operating items including tax rate and nonrecurring investment gains as well as the effect of increasing input cost headwinds. Factoring in what we know today, we expect fourth quarter sales to be seasonally down from the third quarter, but better than typical seasonality. We're projecting full year adjusted operating margins in our targeted range of 17% to 19%. And we have updated our adjusted effective tax rate projection to 16% to 17% for the full year 2021. Our teams are executing on the drivers we can control and our full year outlook reflects the strength of our portfolio. And with that, I'll turn it back to Dave for some final comments.
Dave Heinzmann: Thanks, Meenal. In summary on slide 12, halfway through the year, we have delivered strong performance within an ongoing dynamic market environment. We expect a strong second half supported by our order backlog and bookings. We continue to closely monitor supply chain bottlenecks and COVID-related challenges, including across our suppliers and customers. While these factors could introduce instability to the remainder of the year, we've proven our sound business fundamentals enable us to effectively grow during these challenging times. We have a strong track record, and I am confident our company is well-positioned for continued profitable growth as we deliver on our long-term strategy. I will now turn the call back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Luke Junk with Baird. Your line is open. Please go ahead.
Luke Junk: Thanks and good morning, Dave and Meenal. First question I want to ask about the overall tightness we're seeing around the electronic supply chain right now, especially some of the capacity that you're able to bring to bear on that front. And what I'm wondering is, is there an opportunity to take pricing more strategically in your electronics business right now? And in general, maybe if we could talk about what the interplay looks like right now with your distribution customers especially?
Dave Heinzmann: Sure, Luke. Yes, so if we look at it, it's certainly a very dynamic environment and there are a lot of supply constraints out there and a lot of different pockets within the electronics area. We've talked about this in the past. Historically, in our business, we try to have enough ability to respond to spikes in demand or upticks in demand. And our goal is to always outperform our competitors during these opportunistic times. When we do that, we're able to serve that. That helps our revenues grow. In some cases, you'll get that for -- during the times that you have the constraints, and then it'll go back -- flow back to the competitors. But what we found is often we gained some share and hold it during these times, because we outservice the customers compared to competitors. So there is that interplay between what we do on pricing versus opportunities to grow share. It's always kind of the calculus as we look at. Clearly in the electronics side, our input costs are up significantly. So we are working to pass along those increased costs to customers and have had reasonable success in that. So there's always an interplay between, the longer-term opportunity and the near-term pricing needs. 
Luke Junk: Okay. Thanks. And then switching gears to the auto side. Wondering how you see the auto content store is setting up for the second half of the year in terms of, enjoying higher content on say more expensive vehicles. Curious, if you see sustained power in terms of what OEMs can produce or ultimately want to produce of course? And how that might ramp as chip production eventually comes back online for Littelfuse?
Dave Heinzmann: Yes, it's a great question, and one we ask ourselves and our customers quite often and where we're at on that. Clearly, the current mix of customers that we're serving and the vehicles they're producing first and foremost we're putting number one priority on electrification, which we think will be an ongoing trend. So we don't see that shift and we see that continuing to be a positive influence for us in the second half and beyond. With regard to traditional vehicles and their focus on like in North America trucks and SUVs, higher-end vehicles in Europe and even in Asia, yes certainly, that's been a positive influence on our outgrowth of the market for sure. We see that probably continuing through most of the back half of the year. However, at some point in time the mix will shift back in North America. There have not been a lot of fleet cars that have been selling. They're certainly not US manufactured fleet cars and Sedans that tend to have a little lower content. So at some point there will be a balance that kind of comes back in order there. But we don't see that today happening in the back half of the year. 
Luke Junk: Great. thanks for the color. I’ll leave it there.
Trisha Tuntland: Great. Thanks, Luke. Appreciate your questions. We’ll take our next caller, please.
Operator: Our next question comes from the line of Matt Sheerin with Stifel. Your line is open. Please go ahead. 
Dave Heinzmann: Good morning, Matt.
Matt Sheerin: Hi, good morning, everyone. A question Dave, just regarding your commentary about channel inventory still being lean but some signs of some OEM inventory build. Do you have a sense of what those inventories at your customers -- big customers look like? And in terms of distribution do you know what -- in terms of sell-through in other words the distribution customers are they beginning to build the inventory? And if that's something we need to worry about at some point in the next two or three quarters? 
Dave Heinzmann: Thanks, Matt. With regard to our distribution partners themselves we have very good visibility there and understanding where they're at what their sell-through is of our products and things like that. And what I would say, is although our distribution partners would like to increase their inventory position with our products they've been unsuccessful being able to do that because their sell-through has been so robust. So as we stated in the prepared remarks, inventories are pretty lean stuff at our distribution partners and we have not seen those improve from their perspective. So, they continue to be lean. So we don't see any danger there. We do see, that there are OEMs who are attempting to build inventory. So there are cases, where they're able to do that. And in many cases, where they're unable to -- and our teams continue to look there. We don't have pure visibility in those areas. But certainly, as you kind of look even at public companies that we end up selling into, where their days of inventory may not be up their absolute inventory on raw materials and WIP and things like that are absolutely up. So therefore there is inventory that's built at those OEMs to some extent. So we don't have perfect visibility to it but we know it's an influence. And then on top of that you put in the fact -- and this is more kind of broadly not just electronics but with very long supply chains and shipping times for modules subcomponents those sorts of things around the world inherently you have extra weeks of inventory that are on the water. They're being shipped between locations and things like that. So inherently, there's probably some buildup of inventory in the market. But clearly, we're not seeing it at distribution at this point in time.
Matt Sheerin: Okay. Thank you. And then on automotive you talked about the pricing dynamics obviously, being different than electronics with the distribution channel. At what point, do you start to see those prices go up? Is that sort of annual contracts which would be the beginning of next year? Or are there any riders and contracts that enable you to increase prices near-term?
Dave Heinzmann: Yes. So in the automotive OEM space, we do have a small amount of our contracts have riders for some metals but it's a relatively small amount of the business. The bulk of our business in the auto side, we tend to have long-term multiyear contracts that inherently we negotiate even what price downs will be two years from now, et cetera. So those multiyear contracts, we're not able to successfully pass through a price increase today in those. However, we're continually renegotiating long-term contracts with different customers. And what we find is certainly, when we're negotiating contracts today we get much more favorable conditions. So the reality is it will impact us over time even over the next couple of years, where there will be some favorability that comes from that. We do have some cases where we're not – don't have long-term contracts. And in those cases we have already passed through pricing increases where we can and even sometimes surcharges on freight and things like that. So it's a mix but it just takes a lot longer with these long-term contracts on the auto side.
Matt Sheerin: Got it. Okay. Thank you.
Trisha Tuntland: Thanks, Matt. Appreciate your questions. We’ll take our next caller, please.
Operator: And our next question comes from the line of David Kelley with Jefferies. Your line is open. Please go ahead.
Meenal Sethna: Good morning, David.
Dave Heinzmann: Hi.
David Kelley: Hi. Good morning, Dave, Meenal and Trisha. Maybe a couple of questions from my end. I wanted to start with the auto outgrowth discussion. And I think you referenced maybe tracking a bit higher given some of the choppiness of the OEM builds. And just based on what we're hearing through earnings to date, clearly strong component demand, some inventory replenishment in the channel. So my first question is do you – A, are you seeing that trend? B, do you see that continuing into the second half of the year, given what still feels like very lean dealer inventory levels and still early auto industry recovery?
Dave Heinzmann: Yes. It's a good question, David. The automotive outgrowth, it is a difficult picture to really get a crisp view on as a component supplier. And the challenges of that can be everything from lack of visibility to Tier 1 inventory levels, OEM inventory levels of modules and subassemblies that our products are in. And even today, now partially finished vehicles that are sitting out there in storage that are not showing up as car build, but obviously have our content in it because we've been able to supply. All those things add to the complexity of having a perfect picture of what's going on any kind of inventory builds and things. We know that our current outgrowth is well beyond our long-term expectation on the business, again driven by very strong EV demands as well as this positive mix of very highly-optioned vehicles that have higher content from us. As I stated earlier, we don't see that mix shifting dramatically in the next couple of quarters. At some point it will, as there's a balance on the types of vehicles that are being produced and sold. But it's not a near-term sort of issue on it. And clearly there is some evidence of over time where inventories have gone up with our automotive customers. We get more anecdotal sort of evidence for that. So for instance we have some – like sensor assemblies that we sell directly to the auto assembly factories. In that case we do returnable containers. Well when you run out of returnable containers, there's an excess level of inventory at that OEM of those modules. We have visibility to certain Tier 1s at certain locations, where we know inventory levels are elevated because as we work to make sure we're supplying everybody, we sometimes need to have those tough discussions to make sure we're not shipping to somebody who already has plenty of inventory when somebody else has a need. So there certainly is evidence of that but it's very difficult to kind of come down and come up with a specific number.
David Kelley: Okay. Got it. That's super helpful, Dave and certainly makes sense. And maybe kind of extrapolating that commentary and thinking about the automotive guide, Meenal I think you pointed out down sequentially for revenues is the expectation. I think there's an assumption out there that maybe LVP ramps up from the second quarter to third quarter. So if we think about your guidance is it a reflection of that uncertainty in the channel? Or are you potentially -- or maybe it's a bit of both, but are you potentially more cautious on your underlying LVP assumptions just given some of the ongoing shortages that are out there?
Dave Heinzmann: It's probably driven by -- more by the latter from our perspective on what's light vehicle production going to be like in the third quarter. We see LMC, IHS what their projections are which are lowering regularly. So our assumptions are on passenger vehicle that third quarter is going to be kind of flattish to the second quarter with probably more downside risk than upside risk on that. And then the other calculus that goes in there in our automotive segment is commercial vehicle. And on the commercial vehicle side while there's very strong end market demand, our particular mix of customers we're seeing a heavier shutdown in the third quarter than we did the second related to supply issues with other components not our components, but other components. So that's what's caused us to be maybe a bit cautious on our guide from an automotive perspective. 
David Kelley: Okay. Got it. That's helpful. And thanks for bringing up the commercial vehicle exposure. That's actually my one quick last question. Did you -- and I may have just missed it Dave, but did you provide the contribution of kind of what the commercial vehicle growth was in the quarter? Just curious how meaningful that was.
Dave Heinzmann: Yes. No, we didn't specifically call that out in the prepared remarks on that. Obviously, commercial vehicle demand is quite strong and our commercial vehicle business is up very nicely during the quarter, but we didn't call out specifically in the prepared remarks. So quite strong year-over-year comparisons and even sequentially up, but we do see some challenges from second quarter to third quarter there, because we did have some specific large customers that we see them having higher shutdowns because of shortages.
Meenal Sethna: And I would just add David in the second quarter our passenger vehicle growth for both parts of the business and commercial vehicle growth pretty consistent in the overall segment not much difference between the two.
David Kelley: Okay. Great. Thanks, Dave and thanks Meenal. I appreciate it. I’ll pass it along.
Meenal Sethna: Thanks for your questions David. And we’ll take our next question please.
Operator: Our next question comes from the line of Nik Todorov with Longbow Research. Your line is open. Please go ahead.
Meenal Sethna: Good morning, Nik.
Nik Todorov: Yes. Thanks. Hi. Good morning everyone and congrats on great results in the quarter, really impressive. I just want to ask on the margins. Clearly much better than expected fall-through in the June quarter, but we're kind of seeing you kind of given away that in the September quarter with a similar fall-through on the downside. Just trying to understand the dynamic between the segment margins. It looks like in electronics you guys have a good ability to pass through those price increases the fleet inflation increases. But if we start thinking about what margins could be down sequentially, should we start thinking about in automotive and industrial particularly? And I'm just trying to understand because you had such a strong June quarter margins and now you're starting to give away. Essentially are you saying that you're seeing more acceleration and inflation costs and input cost headwinds?
Meenal Sethna: Yes. So two parts to that equation Nik. What I would say one you commented on the pricing. We mentioned we're -- depending on the go-to-market strategy right where it's heavier distribution like electronics, you see price realization coming through faster offsetting some of the cost headwinds that we have. Dave had a lot of comments on automotive and how that takes longer because of the multi-year customer contract -- construct that's out there. As it relates to input costs, my comments earlier in the prepared comments was we had talked about a 250 basis points to 300 basis point headwind out there 90 days ago. Today that headwind has increased 50 basis points to 100 basis points for every segment. So it's really -- we've got that cost that we're offsetting pricing is coming faster in electronics and that's how you start to see maybe some of the shifts in the margin short-term.
Nik Todorov: Okay. Got it. And you guys are clearly having a better result in the automotive if I compare your results to some of your peers. Dave if I take the midpoint of the guide, I assume electronics flat, industrial flat and automotive down. I think for the full year, your automotive sales could be up close to 30%. I wonder if you can just decompose that relative to what market growth is? And what -- how much is content growth and maybe some other factors?
Dave Heinzmann: Yes. Obviously, your math is not wildly off on where things are at from what we currently see of car builds and things like that. So, it's quite robust growth in the auto side. I think there are probably a couple of things that allow us to maybe perform and grow a little stronger than others. One is our ability to supply. I think we were probably in a better position than most to be able to flex up our manufacturing. Again, strategically, we tend to make sure we can do that best we possibly can. It doesn't mean there aren't shortages. Yes, that we're dealing with we are. But I think our ability to respond demand to the demand has been pretty strong. So, I think that is helpful. And then I think the other thing for us is perhaps this vehicle mix shift to the highly optioned higher-end vehicles might have a higher impact on us than it does maybe some other suppliers that you're looking at. So, I think that's a shift that pulls it up electrification trends, highly optioned vehicles, those are all very, very positives for us as well.
Nik Todorov: Got it. Thanks guys. Good luck.
Trisha Tuntland: Thanks for your questions Nik.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Karl Ackerman with Cowen. Your line is open, please go ahead.
Trisha Tuntland: Good morning Karl.
Unidentified Analyst: Hey, good morning guys. This is Eddie for Karl. My question is last quarter you referenced that bookings have extended well beyond what you referred to as normal. And I'm wondering whether you've seen bookings begin to moderate. If so, could you describe -- briefly describe which areas of the market may have seen some moderation? And I have a follow-up please.
Dave Heinzmann: Sure. Good question. We certainly talk about in electronics what our book-to-bills look like and what are our bookings track to. And we are not quoting a particular book-to-bill ratio because quite frankly with extended lead times now order patterns are going and orders that are extending out further than normal, it's not a real meaningful number. Very strong bookings that we have in the business particularly in electronics but across the board. And yes, if anything, they're stronger today slightly than what they were a quarter ago, but that's really related to how far out people are booking rather than near-term necessarily. So, bookings continue to be quite robust for us.
Unidentified Analyst: Okay. Great. Great. And my follow-up is what percent of your outlook for third quarter is locked in today? In other words, what portion of your outlook requires book and ship business? And how does that compare to last year? Thank you.
Dave Heinzmann: Yes. Certainly with the environment -- and it's very different in different parts of the business. So, like in our automotive pass car business we have scheduling agreements. So, they're just scheduling agreements out there. You get ship releases for the week or the day and you ship those. So, it's not really a booking that's locked in so much in that. But in the electronics or industrial side you tend to have lead times and you get bookings there. And in those areas yes, we have quite strong bookings that are there that we would have higher than normal bookings completed for the quarter. So, there's not a lot of bookings we have to take on to hit our third quarter in those areas. We're pretty strong demand at this point that's booked out.
Trisha Tuntland: Appreciate your questions Eddie. We'll take our next caller please.
Operator: Our next question comes from the line of David Silver with CL King. Your line is open, please go ahead.
Trisha Tuntland: Good morning David.
David Silver: Yes, hey, good morning. Thank you. I joined the call a couple of minutes late. So, this first question is going to be very naive founding. But I was just wondering if you did kind of a walk or connected the dots between your second quarter guidance, 90 days ago as part of your first quarter conference call and the results you reported today. And in particular I mean I'm thinking on the revenue side. And I'm just wondering, I recall Dave I think you mentioned that lead times were expanding I think moderately or lengthening moderately during the first quarter call. And I did hear you mention they seem to be lengthening again. So maybe if you could just talk about maybe the better than 10% increase in your revenues this quarter relative to your guidance 90 days earlier and how much was price, how much was volume? Were there some rush orders or you mentioned maybe customers building inventory? Just how do you think about that double-digit increase versus your guidance on the revenue side? Thank you.
Meenal Sethna: Sure David. I'll take the first part of your question just on Q2 in general and what changed over the course of this 90 days. We had commented in the beginning that we really saw strong demand across most of our end markets which is good. A little -- I'd say continued and in some cases a little bit stronger than we were expecting. But I would say coupled with the combination of our setup being able to flex maybe a little bit more than some others and David has made some comments on that in the Q&A about. Yes, we try to build in a little extra capacity so that we can flex to some of these peaks that come through. And I would add our teams really around the world on the manufacturing supply chain side have done some tremendous work to improve productivity efficiency to help drive additional capacity for us to meet the orders that are out there. So, I'd say the combination of demand market conditions our strategy on being ready for times like this and then just really the performance of our teams that's really what drove the Q2 be for us. 
Dave Heinzmann: And with regard to lead times, clearly our lead times on most of our products are extended as we deal with shortages from our suppliers and shortages exist in there things like resins some of our products. We're putting semiconductors within them and things like that. So, we deal with some of the same shortages that others do. So those things impact our lead time. But maybe one of the largest impact to us is logistics lead times. It just takes a long time to get products around the world today much longer than it typically does. So you may have heard me a quarter ago talking about actually our extended lead times the bulk of it was actually increases in our logistics times and that clearly has not gotten better. Logistics patterns continue to be challenged. And so therefore it takes extra weeks to get products around the world. So that contributes to it along with these other types of shortages and capacity constraints. So yes our lead times have continued to extend a bit. 
David Silver: Okay. Thank you for that. My next question is probably something I haven't asked anybody on a conference call in about 10 years. But your stock is up a little bit today on very low volume. And I'm looking at your stock price in absolute terms well into triple digits, your daily trading volume well into double digits. So this is a question about a stock split. So many companies choose to time a stock split with when a dividend increase occurs and that was this quarter a very hefty dividend hike. I'm just wondering internally or when it's reviewed with the Board Dave what is your philosophy about the potential for a stock split to maybe improve liquidity and maybe on a day like today giving some incremental buyers a little bit more comfort about their ability to get in and get out of your stock without unduly affecting the price? Thank you 
Dave Heinzmann: So I'll weigh in and Meenal can join in with comments if she'd like on that. Certainly it's a conversation we've had with our Board of Directors over time and it's a regular thing we will visit and discuss bring in outside advisers to help us analyze whether that's helpful for us or not. So we do that. The bulk of our investor base tend to be long-term investors. Those are the types of investors that we like and target as well and that's quite consistent with the base that we have. And in that case, we don't get a lot of pressure on this. We need to get in and out quickly. So, they're willing to do that over time because they're not looking to do move in and then back out right away. So therefore, we haven't seen it as a major strategic need for us on how our stock price behaves. We'll continue to look at it and evaluate. And if the timing is right at some point, we might do that but it's certainly not a priority for us at this point in time. 
Meenal Sethna: Yes. And I'll add just two or three other comments as part of the third parties we talk to. We've had this conversation also with various buy-side and sell-side folks as well. And the general feedback we get is hey -- and Dave mentioned especially because we've got generally a very long-term holding base their views have been, hey when we need to get into the stock we don't have a problem doing that. So we're actually fine and we're happy that you keep the short-term folks out of the stock frankly. And the other thing is we've got a very large institutional base. We don't really have very many retail holders. And that's really -- it's the retail holders that get that might want a lower stock price but institutional don't really feel that as a problem. 
David Silver: Okay. Great. Thank you very much.
Trisha Tuntland: That concludes our Q&A session. Thank you for joining us on today's call and your interest in Littelfuse. We look forward to talking with you again soon. Have a great day. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.